Operator: Good morning. My name is Sylvie, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the BTB Real Estate Investment Trust 2025 First Quarter Results Conference Call, for which management will discuss the quarter ended March 31, 2025. [Operator Instructions] Should you wish to follow the presentation in greater detail, management has made the presentation available on BTB's website at www.btbreit.com/investors/presentations/quarterly-meeting-presentation. [Operator Instructions] Before turning the meeting over to management, please be advised that some of the statements that may be made during this call may be forward-looking in nature. Such statements involve numerous factors and assumptions and are subject to inherent risks and uncertainties, both general and specific, which give rise to the possibility that predictions, forecasts, projections and other forward-looking statements will not be achieved. Several important factors could cause BTB Real Estate Investment Trust's actual results to differ materially from the expectations expressed or implied by such forward-looking statements. These risks, uncertainties and other factors that could influence actual results are described in BTB Real Estate Investment Trust's management discussion and analysis and in its annual information form, which were filed on SEDAR and on BTB website at www.btbreit.com/investors/reports. I would like to remind everyone that this conference call is being recorded. Thank you. I will now turn the conference over to Mr. Michel Leonard, President and Chief Executive Officer; accompanied today by Mr. Marc-Andre Lefebvre, Vice President and Chief Financial Officer; Bruno Meunier, Vice President of Operations; Ms. Stephanie Leonard, Senior Director of Leasing; and Mr. Charles Dorais Bedard, Senior Director of Finance. Mr. Leonard, you may begin.
Michel Leonard: Thank you, Sylvie, and welcome all to our conference call this morning for the results, as Sylvie mentioned, of the Q1 2025. We're sitting on 6.1 million square feet of real estate divided amongst 75 properties, for a total asset value of $1.3 billion. The investment activity was quiet during the first quarter as a result of the dispositions that are ongoing. During the first quarter, we have put on the market three properties located in Saint-Jean-sur-Richelieu we had previously disclosed during our Q4 conference call, namely 145 Saint-Joseph Boulevard, 325 MacDonald Street and 1000 du Seminaire North. And we retained the services of the brokerage division of National Bank in order to sell these three buildings. Regarding our densification efforts, well, we are still active in zoning change to create the added residential aspect in order to densify three properties under review. Our real estate portfolio is divided amongst industrial properties at 37%, suburban office at 41% and necessity-based retail at 22%. As far as our geographical diversification, it hasn't changed. Montreal still represents 53% of our assets, 21% for Quebec City, 2% in Three Rivers, 13% in Ottawa, 4% in Saskatoon and 7% in Edmonton. Regarding our key metrics for the first quarter, again, the total fair value of our investment properties is at $1.2 billion. The renewal activity and new leases activity at 138,000 square feet and our occupancy rate at 92.5%. The other events for the quarter is that we issued Series I convertible debentures, bearing a coupon of 7.25%, for a total proceeds of $40.25 million, that is concluded on February 28, 2030. And we're pleased to note that this issue was oversubscribed. Pursuant to that, we then suspended the distribution reinvestment plan in order to control the number of outstanding units and stock dilution. And then out of the proceeds of the raise of the Series I convertible debentures, we fully redeemed and paid that -- prior to maturity the Series H debentures for a total value of $19.9 million. Also, during the Q1, Winners/HomeSense took possession of our first ground-up development of the property in Levis, Quebec, and they started operation in February in that store. Regarding our leasing activity, I now turn the presentation to Stephanie, who is going to take you through the main leasing and renewal activity that took place during the quarter.
Stephanie Leonard: All right. Good morning, everyone. For those of you that are following us online, if you are, we are currently at Page 8 of our slide deck. So for our new leasing activity, our total activity for the quarter, the combination of new leases and lease renewals, totaled 138,000 square feet. During the fourth quarter -- sorry, during the first quarter, we leased a total -- yes, sorry, 68,726 square feet to new tenants, bringing our committed occupancy rate to 92.5%, as Michel noted. It's to note that a 20 basis point decrease -- we recorded a 20 basis point decrease since the previous quarter or a 200 basis point decrease since Q1 2024, so our comparable quarter, which is primarily due to the announced tenant bankruptcy in our industrial segment, which we discussed in our Q4 reporting. Our in-place occupancy rate at the end of the first quarter stood at 91.7%. The difference between our in-place and our committed occupancy rate is mainly due to the timing of new office and retail transactions on the respective preoccupancy periods. The tenants will be recorded in-place as of Q2 and Q4 of this year, 2025, and with similar timing for the respective revenue. In terms of the new leases that were signed during the quarter, you could actually look at Page 10 of our slide deck for more color in terms of which properties were located in. We secured a long-term tenancy with the Government of Canada in our suburban office segment, representing a total transaction of 22,000 square feet. So to note that 14,000 square feet is a new transaction for an expansion into new premises for a 15-year term and a lease renewal for their current premises of 8,610 square feet, so for a total transaction of 22,000 square feet for a 15-year term. We signed another 30,352 square foot transaction with Value Village in our necessity-based retail segment in our property located in Saint-Bruno-de-Montarville, and that's a 10-year lease with Value Village. During the first quarter, 46.4% of new leases were concluded in our suburban office segment. So I think it does demonstrate that our assets are well positioned, strategically positioned within our different markets. In terms of our renewal activities, you can look at Page 11 of our slide deck as well to get additional color in terms of where the renewals are located. During the first quarter, we renewed about 82,000 square feet with clients whose leases came to maturity during the quarter. And the most significant renewals during the first quarter were concluded with Dollarama for about 10,000 square feet located in Dollard-des-Ormeaux, in our Montreal portfolio. The Government of Canada, as I just discussed, in Quebec City for their 15-year term for 8,610 square feet. And Soplex Insurance Solutions in Quebec City as well representing roughly 7,700 square feet. Overall, we managed to achieve a 5.1% lease renewal spread across all business segments for the quarter. In terms of our occupancy rate, again, we're looking at Page 9 of our slide deck. As previously mentioned, we closed the quarter with a 92.5% occupancy rate, a 200 basis point decrease in comparison to the same quarter. In respect to our geographical occupancy rates, you'll notice that our committed occupancy rates for Quebec City, Trois-Rivieres and Ottawa all showed increases in respect to the same quarter of 2024. Specifically, our committed occupancy rate in Quebec City increased by 1.9% in Q1 2025, again, in respect to Q1 of 2024. Our committed occupancy rate in Trois-Rivieres increased by 2.7%. And our committed occupancy rate for Ottawa increased by 0.5%. For our portfolio located in Western Canada, we remained at 100% occupancy for the first quarter, which is identical to the first quarter of 2024. And on this note, I'd like to turn the presentation over to Marc-Andre for our financial review.
Marc-Andre Lefebvre: Thank you, Stephanie. Good morning, everyone. I will now go over our financial highlights section, which starts on Page 13 of our presentation. The financial results for the first quarter of 2025 once again reflect the strength of our leasing and operational efforts as well as our financial prudence, resulting in an improved liquidity profile. For the three months ended March 31, 2025, rental revenue stood at $34.4 million, which is a strong increase of 5.4% compared to the same quarter last year. Net operating income totaled $19.8 million for Q1 2025, and this is an increase of 8% compared to the same quarter last year. The increase in NOI is related to several factors, namely a cancellation payment of $1 million from a tenant in the suburban office segment. And know that this space was already -- has already been leased by BTB. Second, operating improvements. Third, higher rent achieved in lease renewals. And lastly, organic increases in rents for in-place leases. Looking at same-property NOI, it increased by 7.3% for the quarter compared to the same period last year. FFO adjusted per unit was $0.111 for the quarter, an increase of 8.8% from the same period last year. The increase is mainly explained by the increase in NOI that I just explained, a decrease in administrative expenses and an increase in net financial expenses before fair value adjustments. FFO adjusted per unit was negatively impacted by an increase in the weighted average number of units outstanding of 1.3 million units compared to the same period last year. As Michel mentioned, on February 25, BTB suspended its distribution reinvestment plan. We maintained our distribution to unitholders at $0.075 per unit for the quarter, which represents an annualized distribution of $0.30 per unit. The AFFO adjusted payout ratio was 72.7% for Q1 2025, an improvement from 83.9% for the same period last year. The lower payout was mainly attributable to the increase in NOI. The value of our investment properties remained virtually unchanged at $1.2 billion at the end of the first quarter. Note that we did not make any portfolio-wide changes to our cap rates this quarter and that the weighted average cap rate for the entire portfolio stood at 6.7%, which is the exact same as year-end 2024. We concluded the quarter with a total debt ratio of 57.7%. The weighted average term and interest rate on our mortgage portfolio is 2.6 years and 4.35%, respectively. In January 2025, we increased our liquidity position through the issuance of a $40 million convertible debenture Series I. The coupon on that debenture was 7.25% and term was five years. As Michel previously outlined, the net proceeds from this offering were used to repay the outstanding convertible debenture Series H, for $20 million. And the balance of the funds were used to repay a portion of the outstanding amount on our credit facilities. Finally, at the end of the year, we held $5.5 million in cash and $25.2 million was available under our credit facilities, for a total liquidity amount of almost $31 million. This is a significant improvement versus the $13 million of liquidity we had at year-end. I will now turn the presentation over to Bruno Meunier, our Vice President, Operations, to discuss our ESG achievements and initiatives.
Bruno Meunier: Thank you, Marc-Andre. Hello, everyone. We'll go through our ESG highlights. Despite the fact that there seems to be a global lack of interest in ESG factors within many large companies, at BTB, we believe it's important to continue what we started. We continue to follow our roadmap while prioritizing what has value to our buildings. For example, 60% of our suburban office and necessity-based retail buildings have environmental certifications, either BOMA BEST or LEED. This is also a requirement from our tenants and attracts several other high-quality tenants. We plan to certify the remaining of our suburban office and necessity-based retail before the end of the year. We also expect to obtain our GRESB assessment this year. For those who are not familiar with GRESB, that means Global Real Estate Sustainability Benchmark. To achieve this, we have successfully compiled the energy consumption data for 98% of our buildings. This will allow us to analyze the energy performance of our buildings in order to clearly define the energy savings project to prioritize. If we reduce our energy costs related to the additional rents, we can increase our base rent and give more value to our properties. Also, with our energy data analysis, we will be able to plan our decarbonization strategy for the coming years. In addition of all that, we have 14 beehives installed on the roofs of our buildings. We plan to install 6 more by the end of 2025. We also continue to survey our staff and customers annually. We see an improvement in the satisfaction levels of our employees and customers year after year. Finally, we continue to donate to several charities and through volunteers work. For instance, two weeks ago, we made sandwiches to feed the homeless in the Montreal area. This completes our presentation, and we will now open the call to questions. Sylvie, can we please have the first question online?
Operator: Thank you. This is the conferencing operator. [Operator Instructions] And your first question will be from Matt Kornack at National Bank Financial. Please go ahead.
Matt Kornack: Good morning, guys. Just wanted to quickly touch on the economic environment that we're currently sitting in. And if you could give us a sense by asset class if you're seeing any impact, at least from a tenant standpoint, in terms of timelines or actual leasing decisions at this point relative to trade and the economy, et cetera?
Michel Leonard: Matt, it's very quiet on that front. As you see from the velocity of our lease renewals, it's quite strong. And there doesn't seem to be a lot of noise regarding their ability to renew their leases pursuant to what we hear from the tariffs, going to call it a war, the tariffs war that exists between the United States and the world.
Stephanie Leonard: If I could add on as well, Matt, just in terms of the timing for transactions and the length to negotiate transactions. I think in terms of what we've noticed anyway since the economic situation, the tariffs and all of that, there hasn't been that much impact in terms of timing of transactions. I'd say, I don't want to use the next word that I'm going to use, but since COVID, it really -- transactions do take a little bit more time, more people are involved. However, we've seen that trend since COVID, not because of tariffs. And it hasn't heightened because of tariffs or anything that. There's no halting in decision-making process. It's just the fact that, since COVID, businesses have taken more steps in to assure the real estate strategy, if I could say.
Matt Kornack: Sure. That makes sense. And then maybe just in terms of what you're thinking from a capital allocation standpoint and your strategic plan. I know there was a shift towards industrial. You can get industrial assets now at a higher implied cap rate, so that's attractive. But I think that sector has maybe taken a little bit of a hit in terms of perceived risks. But has that changed your capital allocation or strategic view on what this REIT should be going forward? Or are you sticking with kind of that plan of moving more into industrial?
Michel Leonard: Well, our goal is to reach 60% industrial, so we've never really -- we never addressed the pure-play aspect of BTB to the market. But there's a good reason for BTB to go towards being 60% industrial. And I think that that's the use of capital, because the office segment is really capital intensive. And as a result of it being intensive, contrary to, say, the industrial segment that is less capital -- it's not -- it's less capital intensive, but you still have capital to deploy within this segment anyway. But it seems to make sense to us in order to pursue it to 60%. The overall, like we're not -- up until now, we haven't bet the bank on industrial. We know that the segment is a lot softer than it was. We know that it creates great buying opportunities. And hence, the fact that we, as I mentioned, we use your brokerage division in order to put three properties on the market, in order to bring some capital, in order to look at the industrial market. So, so far, I think that being diversified, and I know that this is not a label that people love, but being diversified, I think that it creates a certain certainty as far as the distribution is concerned -- the safety of the distribution is concerned. And it also creates, for our investors, because obviously our investors are not these large institutional groups that prefer to do their own diversification, but as far as being an investment vehicle for the private investors, I think that the diversification could pan out very, very well for them anyway. So we haven't bet the bank. We're going in the direction of 60% industrial, and that's so far the decision that has been made and we're continuing on that front. Obviously, the investment in industrial is going to be more analyzed, if I can use that word, in order to ensure the safety of the investment, as you sort of alluded to. And so for us, we're taking careful steps. And we're not just selling to sell, and as I mentioned before, we're not selling at a discount and we're not forced-selling -- we're not into a forced sell activity, and we want to take care of our NOI and we want to take care of the payment of our distribution as well.
Matt Kornack: That makes sense. On the bankruptcy that you have in the industrial segment, I know that you had to do some cleanup of that property. Can you give us a sense of any activity that you've seen from prospective tenants? I know there was a few different options and possibly it gets demised, maybe it doesn't. But any sense as to what's happening there?
Stephanie Leonard: Yes. So we do have prospects for the space. What we're looking at right now is the potential of dividing the building between two prospects. There is an option in front of us, still many conditions to go -- many hoops to jump through right now, but we have one option to do a full tenancy, so just one tenant within the property. But we also do have an option to do two tenants. In my opinion, I do believe that this property is better suited for a maximum of two tenants. I believe I discussed that, touch-based on that during our Q4 call, just in terms of the positioning, the size, parking and the different criteria for different tenants. So I think that's -- what we're looking at and what we're contemplating right now is between one to two tenants.
Matt Kornack: Okay. And then last one for me. Just as we look out through the balance of the year from an in-place versus committed leasing standpoint, I think you mentioned that you're going to converge by Q4 to be at 92.5% or so of committed from current in-place levels. Is there anything -- are there new leasing on vacant space that would take it higher or potential nonrenewals of large tenants that would potentially take your occupancy lower, to converge to that 92.5%?
Stephanie Leonard: Our expectation is to convert. We're working our 2025 renewals. We have certain new leases coming down the pipeline as well. So I think we're going to have some good things to report in Q2.
Matt Kornack: Looking forward to it.
Operator: [Operator Instructions] Next question will be from Sumayya Syed at CIBC. Please go ahead.
Sumayya Syed: Thanks. Good morning. Just on the renewal activity in the quarter on the office side. So you did have a government tenant renew and expand. And I guess you had about overall 5% spreads on the office side. Would a typical government renewal be associated with an option or would that just be renewed at market rates?
Stephanie Leonard: Are you asking if the tenant had an option to renew? Okay. Because the tenant, this was a brand-new -- it was a brand-new transaction with a client with no preexisting option. If that was your question.
Sumayya Syed: Yes. And then just moving on to the debt side of things. It looks like you do have commitment letters for a portion of the debt that's coming due this year. And then just wondering what are your refinancing expectations for the remaining mortgages coming up this year.
Marc-Andre Lefebvre: Sumayya, look, I mean, for the remainder of the year, we don't expect any issues with our refinancing. When we look at Q2 2025, if we break it down by segment, we have about $27 million to refinance four properties. That's for the industrial segment. So we anticipate a negative spread of 35 basis points. We have one retail property for about, call it, $9.5 million. We think there will be a negative spread of 180 basis points, and that's because of the -- that property is the lowest existing rate of the entire portfolio at BTB, so we had a very favorable in-place interest rate. And then we have two office properties totaling $6 million to be refinanced. And the estimated spread is -- will be -- should be stable for both properties. And when we look to the second half of the year, so we'll have, call it, we'll have -- sorry. The average -- the weighted average interest rate on the upcoming mortgages for the second half is 4.8%. And the split per segment is $42 million for office, $8 million for industrial and $15 million for retail. And we're expecting a negative spread of 30 basis points. So that breaks it down for 2025.
Sumayya Syed: That's good color. And just to switch back to the leasing side of things. So Stephanie mentioned some prospects for the Laval industrial asset. And in terms of like the rents that are being discussed or negotiated, is that still kind of holding true to where they would have been maybe three or four months ago?
Stephanie Leonard: So I would say that we're holding based on the -- what I had mentioned in our Q4 call. So I believe what I had mentioned was that we were expecting rates still in the double-digit figures, in the mid- to lower teen levels. Three to four months ago, let's say, last maybe even a year ago, we were still in that industrial boom, now industrial is coming back to normalized levels. So I'm hopeful that we'll be leasing in the double-digit rent. However, it's not the crazy double-digit rents that we saw a couple of years ago since we're getting back to normal rates, so I sustain what the rates that I projected in Q4.
Sumayya Syed: Okay, that's all from me. Thank you.
Operator: Thank you. And at this time, it appears there are no further questions. Please go ahead, Mr. Leonard.
Michel Leonard: Well, thank you very much for joining us this morning. I think the points that have been noted which are important is that our lease renewals are still going strong. New leases, we have good velocity. Our rental revenue is up by 5.4%. Our NOI is up by 8%. Our same-property NOI is up by 7.3%. Our AFFO payout ratio stands at 72.7% and our FFO payout ratio at 67.4%. So overall, a great quarter for BTB. And we're looking forward to seeing you and speaking with you again for the results of the Q2. Thank you very much for joining us this morning.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.